Operator: Good morning. My name is Felicia and I will be your conference operator today. At this time, I would like to welcome everyone to the Core Lab Q4 2012 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Mr. Demshur, you may begin your conference.
David Demshur: Thank you, Felicia. We would like to say good morning in North America, good afternoon in Europe, and good evening in Asia-Pacific. We would like to welcome all of our shareholders, analysts, and most importantly, our employees to Core Laboratories' fourth-quarter 2012 earnings conference call. This morning I am joined by Dick Bergmark, Core’s Executive Vice President and CFO. Also this morning we are again joined by Core's COO, Monty Davis, who will present the detailed operational review. The call will be divided into five segments. Dick will start by making remarks regarding forward-looking statements. Then we'll come back and give a brief investor update, and highlight the three financial tenets by which Core’s executive management executes the company's growth strategies. We believe these three tenets have produced industry-leading shareholder returns and returns on invested capital. We will also discuss Core’s long-held philosophy of returning excess capital back to our shareholders. And then Dick will follow with a detailed financial overview, and additional comments regarding building shareholder value and Core’s 2013 outlook and a general industry outlook as it pertains to Core’s continued growth prospects in 2013. This outlook confirms our confidence in the trends of increasing activities in international and especially deepwater activities tied to crude oil and large LNG developments and unconventional oil reservoirs in North America. Then Monty will go over Core’s three operating segments detailing our progress, and discussing the continued successful introduction of new Core Lab technologies and then highlighting some of Core’s operations and major projects worldwide. And then we will open the phones for a Q&A session. I’ll turn it back to Dick now for remarks regarding forward-looking statements. Dick?
Dick Bergmark: Thanks, David. Before we start the conference this morning, I’ll mention that some of the statements that we make during this call may include projections, estimates and other forward-looking information. This would include any discussion of the company’s business outlook. These types of forward-looking statements are subject to a number of risks and uncertainties relating to the oil and gas industry, business conditions, international markets, international political climate and other factors including those discussed in our ‘34 Act filings that may affect our outcome. Should one or more of these risks or uncertainties materialize, or should any of our assumptions prove incorrect, actual results may vary in material respects from those projected in the forward-looking statements. We undertake no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events, or otherwise. For a more detailed discussion of some of the foregoing risks and uncertainties, see Item 1A, Risk Factors, in our annual report on Form 10-K for the fiscal year ended December 31, 2011, as well as the other reports and registration statements filed by us with the SEC. Our comments include non-GAAP financial measures. Reconciliation to the most directly comparable GAAP financial measures is included in the press release announcing our fourth quarter results. Those non-GAAP measures can also be found on our website. With that said, I'll pass the discussion back to David.
David Demshur: Okay, thanks Dick. I would like to give a brief investor update. Core’s operations produce the company’s most profitable quarter ever as the company continued to benefit from more continued focus on international and deepwater activities and unconventional oil plays in response to relatively high oil prices and dwindling global spare oil producing capacity. The focus on crude oil related projects continued to build in 2012 as Core’s revenue mix is now 80% oil and 20% related to natural gas developments; a shift from the previous 70:30 mix. Moreover, most of the natural gas related projects emanate from the international theater and are LNG related with major projects in the Eastern Mediterranean, East Africa and Western Australia. Reviewing the company’s fourth quarter results reveals that Core’s growth strategy of progress-ably working in more and new established fields while continuing to offer new technologies and services will lead to revenue growth of 200 to 400 basis points higher than the increase in worldwide activity levels. Year-over-year quarter revenue and operating profit growth for the fourth quarter of 2012 was flat to down worldwide activity levels is a testament to the volatility and robustness of the company’s growth strategies and they are underpinned by our operational excellence. We believe these trends to outperform market activity levels to hold into 2013. Therefore our growth strategies and the execution by our operating units continue to serve our clients, our employees and our shareholders well. Core’s continued focus on high return international crude oil related developments especially those in deepwater environments and unconventional oil resource plays and the continued internal development of new technologies and services has led to multiple years of sustained growth and increased profitability. The evidence of this trend can be seen in our reservoir description segment which saw its year-over-year operating margins increase for the ninth consecutive quarter establishing a fourth quarter record high up 200 basis points from a year ago. Core has always followed and will continue to follow three key investment tenets that have led to our industry leading returns. These three important tenets which usually receive only their attention in our oil field services sector are; number one, maximizing free cash flow through fiscal discipline. Core follows a strict discipline for allocating capital for investment in growing our business. Unless certain return on invested capital standards are met or exceeded, the capital expenditure is disallowed. An example of this discipline is, over the last five years and since the end of 2007, Core’s assets per operating rig have increased just 4%, while revenue has increased per rig of almost 30%. In comparison, some of the largest oil field service companies have doubled their assets per rig over this time period, while showing slower revenue growth per rig than Core. Needless to say, Core’s operating margins are at their highest while others are significantly lower. The strict capital discipline produced record levels of free cash flow in 2012 of over $206 million. In fact Core converted more than one of every five revenue dollars into free cash during 2012; the highest in the oil field service industry. Core will continue to demonstrate strict financial discipline into 2013. The second financial tenet is to maximize our return on invested capital. Core’s Board has initiated an incentive compensation program for Core’s executive and senior management teams based on the company producing a return on invested capital in the top docile for the oil field service industry. Core’s Board believes that stock performance overtime is directly related to its return on invested capital and based on the most recent calculations available from Bloomberg Core’s return on invested capital was the highest of any oil field service company listed by Bloomberg and its weighted average cost of capital was the lowest. Our third financial tenet is to return excess capital to our shareholders. During 2012, Core returned over $228 million to our shareholders in forms of quarterly dividends and the repurchase of shares equaling about $4.81 per share. Since October of 2002 when Core started its repurchase program, Core has returned almost $1.4 billion or over $29 per diluted share to our owners. We will continue to follow these three key financial tenants into 2013 which should enable Core to continue to produce industry leading returns for our shareholders. So now, I will turn it back over to Dick for a detailed financial review. Dick?
Dick Bergmark: Thanks David. If you look at the income statement, for the full year revenues were $981.1 million, up about 8.1% from the prior year’s $907.6 million. Revenues for the quarter were $254.5 million versus $245.4 million in the prior quarter and $243.8 million in the fourth quarter of last year. So revenues are up sequentially by 3.7% and 4.4% year-over-year. Of these, revenues services for the full year were up 11.6% to $693.9 million from $621.8 million in the prior year. For the quarter, services were $181 million up 11.1% when compared to a $162.9 million last year which was an increase of $18.1 million. For the full year product sales were $287.2 million compared to $285.9 million in the prior year representing about 0.5% to 1% increase. Our product sales for the quarter were $73.4 million up 3.5% sequentially from $71 million in the prior quarter. Moving on to the cost of services for the quarter, they are 59.8% which was better than the 61.5% of revenue in the fourth quarter of last year and 63.6% for all of last year. Cost of sales in the fourth quarter were 71.8% of sales revenues which was better than last quarter but off from 69.3% in the prior year. For the full year, G&A was $43.2 million as previously guided which represented 4.4% of revenues for the year which is down compared to 4.5% of revenues in the prior year. We expect G&A to be around $44 million in 2013. For the full year 2012, depreciation and amortization expense was $22.9 million compared to $23.3 million in the prior year. Depreciation and amortization for the quarter $5.5 million down from $5.9 million in the prior year’s fourth quarter and we expect depreciation in 2013 to total approximately $24 million. Other income this quarter was just a $170,000. For the year, other was income of $4.1 million primarily as a result of a $4.4 million gain from business interruption claims earlier in the year. The gain in the prior year was $900,000. Full year EBIT was $297.3 million up $46.5 million or almost 19% compared to EBIT earned in 2011 with margins up over 270 basis points at 30.3%. EBIT for the quarter was $75.9 million which was up $3 million or 4.1% year-over-year. Our fourth quarter EBIT represents EBIT margins of 30% of fourth quarter high for the company. This compares very favorably to those who've already reported this quarter who had margins that contracted both year-over-year and sequentially. Interest expense was $2.3 million for the quarter similar to last year’s fourth quarter. Income tax expense in the quarter was $18.4 million at an effective tax rate of 25%. Our full year annual effective tax rate was 24.9% and the expense was $71.8 million. We expect our effective tax rate in 2013 to be in the 25% range. Net income for the full year was up 17% at $216.1 million compared to $184.7 million in 2011, and for the quarter it was $54.8 million, up 3.3% compared to last year’s fourth quarter of $53.1 million. Earnings per diluted share for the full year was $4.54, up 19% when compared to EPS in 2011 of $3.82. For the quarter, EPS was a $1.17 compared to our prior guidance of a $1.10 to a $1.17 per share and the [main street] of a $1.13 per share. Sequentially, EPS of $1.17 is up from $1.14 last quarter and is up 5.4% from a $1.11 in last year’s fourth quarter. Regarding balance sheet, cash was $19.3 million compared to the prior year and balance of $29.3 million. Cash balances or free cash flow and proceeds from our credit facility all in the aggregate amount of $247.9 million were used primary to repurchase stock in the amount of a $175.7 million and to pay our dividend of $52.9 million. Receivable stood at a $184.8 million, up from a $170.8 million at the prior year in due to higher sales. Our trade DSOs were 63 days at the end of the year. Inventory down year-over-year to $49.3 million from $53.2 million indicating a slight improvement in inventory returns. Other current assets were $43.6 million inline with last quarter but up from $33.2 million at last year and primarily due to an increase in current income tax prepayments of $10.8 million reflecting the timing difference between when statutory tax payments are required to be made to the various tax offices and the corresponding tax provision recorded under GAAP rules for our financial statements. We added $10.1 million year-over-year increase in [PP&A] due to investment in our business assets. And intangibles, goodwill and other long-term assets were up $5.2 million primarily from an increase of $4.1 million in the cash render value of life insurance. And now to the liability side of the balance sheet, accounts payables were similar to prior year end at $55.2 million. Other current liabilities of $85.3 million were also in line with the prior year imbalance. Our long-term debt at year end was $234 million comprised of our senior notes at a $150 million as well as our bank revolving credit facility whose outstanding balance was $84 million at year end. That balance is down $2 million from our last earnings call. And as of today, our outstanding balance on our revolvers will be reduced to further $8 million to a balance of $76 million. Other long-term liabilities ended the year at $74.1 million up from $63 million at the end of last year primarily due to an $8.8 million increase in pension liability. Shareholder’s equity ended the year at $187.9 million up from the prior year imbalance of $181.7 million and that’s primarily due to additions from earnings offset by share repurchases and dividends. Using annualized net income for the fourth quarter, our return on equity for the year was approximately 114% up more than 10% above last year’s return on equity and this is certainly one of the highest returns earned in the industry. Capital expenditures for the quarter were $7 million and for the full year they were $31.2 million up from $29.9 million in the prior year as we addressed opportunities created by the continued growth in our business in 2012. We expect our client directed CapEx program in 2013 to be approximately $31 million or $32 million as a resulted of an expected continued improvement in industry activity particularly internationally and in the deepwater environment. Looking at cash flow for the full year 2012, cash from operating activities was $237.2 million, while free cash flow after paying for $31.2 million CapEx program was $206.1 million. For the full year, we used our free cash flow and [drawings] under our facilities to pay $52.9 million in dividends and repurchased $175.7 million of our shares. In the fourth quarter, cash flow from operating activities was $85.1 million and after paying for our $7 million in CapEx, our free cash flow in Q4 was $78.1 million. In the quarter, we used our cash flow and drawings under facilities to pay approximately $13.3 million in cash dividends and repurchased approximately 894,000 shares at an average share price of approximately $103.32 per share. Our free cash flow conversion ratio which is the free cash flow divided by net income continues to be one of the highest in the industry. We believe this is an important metric for shareholders when comparing company's financial results. Particularly for those shareholders who used discounted cash flow models to assess valuation. In 2012, we converted $0.95 of every net income dollar into free cash flow. This compares to the 10 year average of the service company in the OSX only converting $0.45 of every net income dollar in to free cash flow. Our use of cash continues to be designed to enhance shareholders value. Free cash flow generation such as this gives companies like Core Lab significant optionality to enhance shareholders value. For example we just increased our quarterly dividend by more than 14% for dividends to be paid in 2013. Our dividend yield is about 1% and our three year dividend growth is in excess of 27%. Another way we have enhanced shareholders value is through our long standing share buyback program which has reduced our diluted share count 45% below the level we would be at had we not begun the program. Clearly you can see that our buyback program is not designed merely to offset dilution from equity compensation like other companies in our space. As of this call our diluted share count is 46,566,000 shares which is near our lowest share count in 15 years. Our program has been executed over an 11 year period providing the company with an overall leeway of below $28 per share. Our (inaudible) for repurchase in 2012 was $111.14 versus an average share price on the stock market that year of $118.14. Our revenue per diluted shares 15 years ago in 1997 was $4.62, while in 2012 it was $20.63 but this is not just a story of reducing share count. Our revenues have more than quadrupled over that timeframe. Our earnings per share have gone from $0.33 to $4.54 or an increase of almost 1300%. But again not just a story of reducing share count. Our net income increased by a multiple of more than 14 times taking net income from $15.4 million 15 years ago to $216.1 million this past year, and our return on equity went from 13.5% to 114% where it stood at year end. All of these metrics point to higher total shareholders return over that 15 year time period. Core Lab total shareholders return is up to 18.5% compounded annually compared to the S&P that is up 4.5% or the OSX which was up 5.2%. Now for the first quarter of 2013 and full year 2013 the earnings guidance our outlook remains positive. With continued support for robust Brent crude pricing and the expected delivery of additional deep water rigs, we believe that we will continue to work in increasingly more established fields as well as new field development projects. Additionally as we have consistently done in the past decade, we plan to enter new fields where we currently do not have operations and to offer new technologies and additional services in 2013. These technologies and services will be focused on increasing daily productivity and ultimate hydrocarbon recovery rates from deepwater fields and liquids related unconventional reservoir developments worldwide. Therefore we believe that our business model with the goal of achieving a revenue growth rate of 200 to 400 basis points above the increase in worldwide activity level directed towards producing fields remains intact with incremental margins positively impacting operating margins. We also expect our free cash flow to remain at elevated levels in 2013 and we expect our client directed CapEx program being roughly equal to that of 2012. And we recently announced our 14.2% increase in our quarterly dividend as well as our intentions to continue with our share buyback program. We anticipate 2013 North America activity levels to be flat at fourth quarter 2012 levels and international activity levels to increase approximately 7%, yielding a worldwide activity increase of approximately 5%. We also expect our revenue to grow at a rate faster than our expected change in industry activity by approximately 200 to 400 basis points, which would suggest our revenues could be up 7% to 9% in 2013. Therefore for the first quarter of 2013, we expect revenue of approximately 240 million to 250 million which takes in to account normal seasonal effects and EPS in the $1.12 to $1.18 range. The midpoint EPS is up more than 8% compared to last year’s EPS of $1.06. For the full-year 2013, we expect revenue to a range between $1.30 billion and $1.70 billion with operating margins averaging approximately 31% and incremental margins ranging from 35% to 45%. This operational guidance excludes any foreign currency translations and assumes a 25% effective tax rate for the year. This would drive midpoint EPS to a range between $4.96 to $5.22 with an EPS midpoint of $5.09. The midpoint of revenue guidance suggest revenue growth of approximately 7% in a range of up to 9% and EPS guidance suggest EPS growth of approximately 12% in a range of up to 16% and those are all using the midpoint of the guidance and are all somewhat higher than the current street estimates for 2013. Now, with that review, I'll turn the conversation over to Monty.
Monty Davis: Thank you, Dick. Fourth quarter 2012 revenue of 254 million is a new quarterly record and represents growth of 4.4% over Q4 2011. Operating earnings of 76 million yielded operating margins of 30%. 2012 annual revenue of 981 million set a new record growing 8% over 2011 revenue which was our previous high. 2012 operating margin improved 270 basis points to 30% margin. These records are a result of our 5,000 employees providing industry leading technical services and products to aid our clients in producing more hydrocarbons daily and over the life of their reserves. I congratulate and thank our employees for another great year. At an event just last weekend a customer spoke to a group of clients and Core Lab executives stating that even though his company was a small independent all of their work goes to Core Lab and always has. Our team always made them feel like their work was important and did a great job for them. Statements like this make us really proud of our people. Reservoir description revenue for the fourth quarter of 129 million is a record for the quarterly revenue and grew 4.3% over Q4 2011. Operating earnings of 37% grew 6% over Q4 2011 for operating margin of 29% for the quarter which is a record Q4 margin for reservoir description. 2012 annual revenue of 496 million grew 5.5% over 2011; operating earnings grew 17.1% as operating margins grew 290 basis points to 29%. Our reservoir description advance technology center in Aberdeen is working on a project in Africa for a client to evaluate a new discovery. In the fourth quarter our scientist analyzed cores with routine testing by scanning electron microscope, x-ray diffraction techniques and thin section analysis and begin planning for advance rock properties testing. Saturation monitoring by attenuation of X-rays will be used to quantify relative permeability of oil, natural gas and formation water, also during Q4, we have been conducting reservoir fluid analysis for pressure, volume and temperature regimes and flow issuance studies on fluids on this discovery whereas. These studies combining rock and reservoir fluid analysis give our clients the best evaluation of their newly discovered reservoir. Our Aberdeen ATC is working on projects for deepwater reservoirs from both coast of Africa. These like most deep water projects involve extensive analysis including routine rock properties, petrology, SEM, XRD, thin section analysis and the SMAX relative permeability flow work. These deepwater projects also involve our reservoir fluid testing at high pressures and temperatures for complete evaluation. Our Huston ATC is working on a major project in West Texas analyzing Core for both conventional and unconventional potential reservoir targets. Our client is evaluating opportunities with Core based [pets] physical measurements and geological evaluations. These studies will be used by the client to grade their prospects and allocate budget expenditures for exploitation. Our Houston ATC scientists have begun a program to evaluate deep, tight, over pressured, conventional reservoirs in the Far East for a national oil company. This evaluation started with co-handling at the well site and is proceeding with several Core Lab proprietary technologies and are used in ATC. This client needs a more complete understanding in their prospects and Core Lab will help them with the evaluation of these prospects. Production enhancement; 2012 fourth quarter revenue of $107 million was a record and yielded operating earnings of $33 million and operating margin of 31%. 2012 was also a record year for the production enhancement with full year revenue of $404 million, operating earnings of $124 million and operating margins of 31%. Our production enhancement engineers are working on a new UltraHPHT gun system for ultra-deep high pressure and high temperature wells. We have completed the testing on the guns perforating charges and the complete perforating gun system. The system performed successfully at 30,000 psi and 407 degrees F and we anticipate that it will be deployed it in the second quarter of 2013. The system wells saw difficult completion problems for perspective clients, extremely hostile environment reservoirs, especially deepwater reservoirs like the lower tertiary play in the Gulf of Mexico where reservoirs are at elevated pressure and temperatures. Production enhancement technical support personnel have worked with the client to use our HTD Blast XL system to recomplete a horizontal shale well. The HTD Blast XL system reperforated the well in zones that were not previously perforated and fracked in the initial completion. The client then fractured these new zones to reduce the spacing of fracs in the well for improved production. The application of our HTD Blast XL system, this application opens up a new market for production enhancement and brings a great value to our clients to be able to stimulate new production from existing wells. Our production enhancement service specialists worked with a client in the deepwater Gulf of Mexico with single-trip multi zone completions. This technology allows the operator to complete multiple zones in a well in a single trip in and out of the well. It results in a significant rig time savings on wells requiring stimulation in multiple zones. Our SpectraChem, SpectraScan, SpectraMark and PACKSCAN technology is uniquely suited to help operators evaluate their effectiveness of their gravel pack and their completion. SpectraMark helps the operator ensure the tools are on depth and in the right place before the completion starts. The combination of SpectraChem and SpectraScan help the operator evaluate the effectiveness of the stimulation and the gravel placement. PACKSCAN also helps the operator to evaluate the effectiveness of the gravel pack placement. All of this is done without adding additional rig time to the completion sequence. Reservoir management revenue for Q4 2012 was $19 million, 11.3% growth over Q4 2011. Operating earnings for Q4 were $5 million with operating margin of 28% for the quarter. Record annual revenue of $82 million grew 23% over 2011. Operating earnings of $26 million were also a record and yielded operating margin of 32%. Core’s reservoir management scientists initiated a new consorting project in the fourth quarter for E&P companies exploring for and exploiting the tight oil Missourian sandstones in the Anadarko basin. Initial production results for these sandstones have been excellent. We currently have nine members in this consortium. Internationally, we continue our focus on deepwater Atlantic margin joint industry projects in the southern Atlantic, while current focus is directed at the emerging pre-salt carbonate play in West Africa and the exploration programs in Namibia and South Africa. And in the transform margin areas, three corporations were added to our equatorial basin studies of Northeast Brazil and in the Ivory Coast, a major expansion of our deepwater dataset was announced. We will open the call for questions.
David Demshur: Felicia, we’ll go and take questions now.
Operator: (Operator Instructions) And your first question comes from the line of [Jeff Patel].
Unidentified Analyst: Maybe if we could start out with the margin progression and just how things play out. I guess the reservoir description and production enhancement, could you just walk us through the seasonal factors as we get into the first quarter and any of the things we need to be aware of; I would assume things will start ticking up again across both those segments in the first quarter?
David Demshur: Yes, if we look at the margin progression for reservoir description and the year 2012, those margins were up year-over-year 440 basis points. We believe that that margin progression will continue into 2013. This business is being enriched by looking at deepwater plays and of course the data intensity in these deepwater plays is much higher when we're spending $100 million to $300 million to drill a well, you are going to generate, reams and reams of core analysis and reservoir fluids data which generates higher incremental margins, so look for a continued progression in our reservoir description margin set and as we look at the first quarter year-over-year that margin probably will increase again. For production enhancement, we see further penetration of our HTD Blast and HTD Blast XL technologies as Monty had mentioned; the effectiveness of these in vertical and horizontal wells plus we are going to have the impact of our high pressure, high temperature perforating charges and gun sets come into play in the second quarter of 2013. So again, those margins should continue to progress. All in all, we look at companywide incremental margins ranging from 35% to 45% equally distributed on our three business segments. So as we look forward to 2013, a good margin to use would be a progression from 30% operating margin to 31% operating margin; if it’s weighted more towards deepwater those margins could be better than that, but as it stands right now in our outlook just use those Jeff and I think you will be fine.
Unidentified Analyst: Great thanks Dave. And then may be a conceptual question is, we kind of think about the shale play starting to mature a little bit in North America stage intensity, I would imagine still a tailwind particularly in some of the newer place particularly given the comments about recompletion opportunities is it also very beneficial to your business as people get in a play like the Bakken where may be stage intensity isn’t as much of a tailwind, but they are concentrating may be not as much on recompletions, but fine tuning the fracs and may be could you weigh in terms of magnitude which tailwind is a little bit more beneficial for your business?
David Demshur: Yeah, Jeff, we actually don't think that the shale plays are well understood at this point. Just over the last couple of quarters, we have been able to determine through our fracture diagnostics technology that additional stages, closer spaced, so you have more in greater contact with the reservoir phase is going to proliferate more stages and more closely space stages. Moreover, we think that pumping excess proppant into these fissures as well will create two things. Number one, greater initial production, but moreover and more importantly, the ultimate recovery from these well bores especially in crude oil related plays will be higher. So we think in all plays, especially those related to crude oil, we will see more stages, we will see they are more closely spaced and we will more profit being pumped.
Operator: Your next question comes from the line of James West [Barclays].
James West - Barclays: Dave or maybe Monty, you are describing some new technologies in your prepared commentary, and then I think Dick mentioned that was going to be with part of what helps growth for Core, see your expectations of global E&P spending. On these technologies, are they limited to, the new technologies do you say limited to what you just described or should we expect some additional technologies and if you could maybe, if we should, what kind of product lines are they going to be focused on and are they going to be game changers or is that more of the total Core Lab’s incremental new adds?
David Demshur: Yeah James, as you know, we tend to be more evolutionary as opposed to revolutionary but technology pipeline that we have here at Core is still very strong and robust. I would say most of that is related to looking at enhanced recovery whether that be in reservoir description or production enhancement, we are looking at capturing that incremental barrel. We think this is the most important technology to focus on so you will see it mainly coming out of reservoir description and production enhancement. So those two segments will benefit over the next several years with some new technologies coming up. On the reservoir description side, look at that being related to miscible gas floods and miscible gas technologies. On the production enhancement side, look at that being related to more hostile environments, so higher pressure, higher temperatures regimes. As Monty pointed out, when we look at this lower tertiary play you had a well last week [TB] at 34,000 feet, so you are looking at extreme pressures and temperatures and to be able to complete and stimulate those wells, we are going to need evolutionary technology and our UltraHPHT technology we know will have to evolve over the next several years because pressures are only going to get higher and temperatures are only going to get higher and we want to be there before the crowd gets there.
James West - Barclays: Dave, what percentage of your business now is coming from deepwater?
David Demshur: If we look at Core Lab, 30% of all oil is produced offshore, 40% of our revenue comes from offshore, half of that is from deepwater. What's interesting only 5 million barrels are somewhere on the order of 7% of the world’s oil is currently produced in deepwater and yet 20% of the company's revenues comes from deepwater. That shows you how important it is and you can tell a theme on this call as will be our annual report for 2012 will be deepwater.
James West - Barclays: If I could slide one more in here Dave you mentioned in your opening comments, I kind of can't resist here but about [doodling] spare capacity globally you guys are obviously peak oil enthusiasts, what do you think spare capacity stands today?
David Demshur: Probably somewhere on the order of a million barrels, something like that. We believe that currently there are only one or two countries that have spare capacity and that amount is fairly limited. If we get some robust economic growth around the world, we are going to see crude prices, Brent prices right back at $150.
Operator: Your next question comes from the line of Kurt Hallead [RBC Capital Markets].
Kurt Hallead - RBC Capital Markets: So, last couple of years and maybe the even the projection that you have for 2013, it looks like revenue growth maybe 8% or so, incremental margins in that 40% range or averaging 40% range. If you go back a couple of years your revenue growth kind of had been kind of mid-15%, 14% per year, do you think that we are now in an environment over the next few years where we should expect revenue growth more in high single-digits than in the mid-teens, that's question number one. Question number two will be then if not what are the drivers that you will see revenue growth accelerate and then just to wrap that up and wrap that up if revenue growth accelerates, what do you think that we could potentially see in terms of incremental margins?
David Demshur: Okay, very good, Kurt. Really our revenue is driven by a worldwide activity. Traditionally, we’ve always outperformed worldwide activity levels by 400 basis points and we think that model holds up quite well. So if we see additional spend which would be created by higher crude oil prices, we would see growth go back into the mid-teens or maybe higher depending on the activity levels that our clients put out there. Right now, what our read is about 7% increase internationally, flat here in North America. Now, on other calls, companies had called for increases in rig count throughout 2013 and an increase in well efficiency. We actually have a little different view on that. Our view is that North American activity will be flat and that wells will take longer to complete and stimulate. So well count, well, year-over-year be about the same. We're going to drill the same number of wells but we're going to drill better wells because you are going to have more stages, better placed and more efficient on initial production and production ultimately from that reservoir. So when we look at Core Lab in our growth aspects, this is controlled by our clients. So if the worldwide activity level goes up 15%, yes indeed, you will see our revenue streams go up maybe 17%, 18%, 19%. Along with that, if we look at past models, you will see that incremental margins did exceed 55% and in the 60% range. So if we see that kind of revenue gain, you probably precipitate those kind of incremental margins. So that is controlled by our clients and more wide activity levels. So higher crude prices sure a big benefit for us.
Kurt Hallead - RBC Capital Markets: What’s your take on this whole the industry inflation, I think you guys have won the first ones to identify the need for the industry to get smarter about how they frac their wells and so on and so forth now, we have kind of heard a crescendo about that from the varying large diversified service companies, doesn’t getting smarter about how you frac wells, I mean, you are fracking fewer stages and then if that’s the case how do you see the opportunity set for pure business tied to that?
David Demshur: No actually just the opposite Kurt. We believe that you need more stages because when we look at the fracture patterns that are created in each stage; we are exposing only a limited amount of that unconventional reservoir to the flow regime. So when we have more stages more closely spaced and well placed, we will get higher initial production more over and we think more importantly higher ultimate recoveries especially related to these crude oil plays. So for 2013, we would say we are going to hold the number of wells drilled steady. We will see more stages closer spaced and more profit being pumped.
Dick Bergmark: A couple of years ago, there was a view that because the fracture profile was very broad coming off of each stage then ultimately they would use more signs to place fewer stages and what we have picked up through our fracture diagnostics was these frac do not go out as broadly as previously believed that they really just emanate directly outward from that stage. So they therefore they need to be closer together to get that exposure to the reservoir that they need for that higher production rate. So that theory about fewer stages that's a couple years old.
Kurt Hallead - RBC Capital Markets: And then in terms of use of cash, can you give us some update on, how you are thinking that you have a pretty good record here as you indicated of dividend increases, it seems like it maybe little more toward share repurchase, so when we think forward over next couple of years, it’s a 10% to 15% per year kind of dividend increase, still something that you guys will be comfortable with each of this share repurchase, just some update on your thoughts there?
Dick Bergmark: Yeah, the driver of course is our free cash flow, so think of net income as a good proxy for free cash flow. We’ve converted $0.95 at this last quarter, so think of it that way. So what will we do with it, we are going to honor that dividend, good companies do always raise it overtime. So I would expect that we will do that, and we do not have a payout ratio as a target, we just believe that you should increase it overtime. The remaining would probably continue to be used for opportunistic share buyback program.
Operator: Your next question comes from the line of Rob MacKenzie [FBR Capital Markets].
Rob MacKenzie - FBR Capital Markets: Question for you David, something you mentioned on a public appearance last night, still talking about one perhaps two substantial liquids discoveries yet to be made or announced in North America, can you give us a feel for when we might, the mystery might go way?
David Demshur: Well, that’s up to our clients, acreage positions are being taken and I got a fairly, once of the acreage positions are established as which happened in the Eagle Ford and then in the Utica announcements will be made. So it’s not up to us, its up to our clients.
Rob MacKenzie - FBR Capital Markets: Okay, so no color whatsoever.
David Demshur: I can't help you there Rob. You got to go talk to the ENTs. They are the ones that are looking at these acreage positions and they are the ones that will announce that.
Rob MacKenzie - FBR Capital Markets: Fair enough. I wanted to also next dig into kind of just your relative guidance among the different segments. You indicated in your comments that incremental margins will be kind of similar across all three segments, yet the quality of comments and your comments about the North America being flattish would seem to indicate that the more international segment reservoir description should have higher incremental margins and high end relatively stronger revenue growth versus the production enhancement. Can you help me bridge the gap there?
David Demshur: Yeah, it has to do with respect to production enhancement you saw a very nice year-over-year and sequential growth there even though we had a 5% decrease in the rig count in Q4. It’s the penetration of the new technology. So when you look at the penetration for instance the HTD Blast and HTD Blats XL that more than made up for the decrease in the rig count. Moreover we are applying a lot of our production enhancement services to the deepwater in the Gulf of Mexico. So when we look at some of these deep shelf plays and some of the deepwater plays there, they are using more and more production enhancement services. And as we mentioned on the last call, we worked our largest job ever in production enhancement last quarter in the Gulf of Mexico. One final point, as you know Rob, we are migrating this business internationally and so now fully one-third of the revenue in production enhancement emanates from international areas. So when we see more of these unconventional resource plays taking off around the world where you are going to use more frac technology, you are going to see more production enhancement revenue growth from the international theater. So it masks a little bit of what we are seeing on the activity side in North America, one being made up with new technology and secondly migrating internationally.
Rob MacKenzie - FBR Capital Markets: My final kind of technology focused question is centered around (inaudible) flooding. Some of you guys have talked a lot about in the past couple of years and when I hear a lot of the E&P talk about recovery rates to these unconventional plays being high-single, low-double digits in the best case scenarios, it would seem that that technology could have material applications. Can you give us a feel for where the science stands on that and where, when and if that we might see some commerciality at least starting off in domestic and unconventional plays for [mystical] flooding
David Demshur: Yeah, right on Rob, if we look at the Bakken because we are doing a lot of work up in the Bakken right now, we are looking at a light gas flood. Some of the associated gas being injected back into these reservoirs and trying to push more and more of the recovery factor. Right now in our laboratory we can increase recoverability and again this is in our lab some 200 to 300 basis points. So maybe from 9% to 10% to 12% to 13% doesn't sound like much, but it’s huge. Now again that is at the laboratory scale, we are working with a client that is going to look at a larger scale light gas flood there, probably sometimes in 2013 and when some of the results come out from that and they start talking about it we can update you further on the science, but it does look promising at this point.
Operator: Your next question comes from the line of Veny Aleksandrov [FIG Partners].
Veny Aleksandrov - FIG Partners: My first question is on your guidance, sudden fall of the company for a long time. This is the first time in a couple of years that you gave yearly guidance and I understand activities are good internationally and everything, but can you give us a little bit of understanding behind the confidence now as oppose to last year?
Dick Bergmark: Yeah, Veny, that has to do with the communications coming from our clients. As David said, you know, they really drive what our earnings growth can be. So we do a survey with our clients and we were pretty comfortable with the feedback that we received from them, and really it was in that 2008, 2009 timeframe when the guidance was pulled in for logical reasons. But each year after that we’ve gained more confidence and you can see our results have been hitting the prior guidance. So that’s why we gave the full-year guidance.
Veny Aleksandrov - FIG Partners: That’s great, that’s amazing. And my other question, production enhancement; even if we could counter split in North America, you manage to perform very well in the quarter. You expanded internationally and you gave us an answer how much of the production enhancement now comes from international areas, but what about total Core Lab. What's your revenue percentage coming from internationally and from domestic?
David Demshur: Yes, Veny when we look at the rocks in the fluids that we work on, 70% of that revenue emanates from outside of the US. So when you look at our Qs and Ks, they might state that you see a higher percentage of US based revenue but that is really a GAAP artifact. For instance, when you’ve toured our facilities here in Houston, when you go back and look at those rocks there, quite often you will see they are offshore, West Africa, East Africa, East Mediterranean. When we build that revenue out of here from a GAAP standpoint that looks like US revenue. However, we know those reservoirs and those fluids emanate from international, so when we look at our all over international revenue picture 70% comes from reservoirs outside the US.
Operator: Your next question comes from the line of [Joe Hill].
Unidentified Analyst: Dave I was wondering if you could give me a sense as to what you think you share the perforating market is today just what it was say a year ago?
Monty Davis: Our share we believe is increasing this is Monty not Dave. We believe our share is increasing with the new technologies that we are introducing, in particular the HTD-BLAST and HTD-BLAST XL those have picked up some pretty good market share. They have also as I mentioned in my comments, we’ve got some new market opening up with these recompletion possibilities, recompleting a frac staged well is a technically challenging thing and with our clients we have figured out way to do that using HTD-BLAST XL. This is a unique task technology, patented technology, so we feel pretty good on our growth in that market. It’s hard to know exactly market share because some of the wire line companies the large wire line companies have a captive plants that manufacture some of their products. They all buy from us; they are all in our top 5 or 10 customers. So we are doing well with the whole market. We are by far the largest producer at this time, but exacts market share as I can tell you.
Unidentified Analyst: Okay, and then the Monty I guess just the exporter will further, what your stocking amount is different in traditional refracting and trifurcating, all right?
Monty Davis: That is correct. This is going into between spacing you originally used putting the engineered new fracs in between the spacing. So you are increasing the spacing and you open up all the frac, the old and the new and its looks to be very successful and increasing production.
Unidentified Analyst: Okay, and then just more of the general question on revenue. Obviously you guys posted some pretty strong quarter-on-quarter international revenue growth; I think it was 13%. Was that an acceleration from the third quarter level, are things actually picking up internationally relative to where they had been prior?
David Demshur: Yeah, that is correct Joe that was, I wouldn’t say acceleration, but we did see a higher sequential gain internationally and we think again that was biased buy, some other deep water developments around the world. We’ve really seen west Africa, east Africa, the eastern Mediterranean and the Gorgon project offshore western Australia pick up in the fourth quarter, that continued through all of 2013, don't know but probably so.
Unidentified Analyst: Okay, one final question and then I am curious as to your thoughts, yesterday we had a larger Italian serve contractor pretty much blow up talking about some slower development activity in some other regions you guys look, Africa, Iraq, etcetera. Have you seen any signs of operator slowing down their development plans in those areas or is that something that you simply are not seeing yet?
David Demshur: Yeah, not seeing Joe, I think that's a company specific issue.
Operator: Your next question comes from the line of Blake Hutchison [Howard Weil].
Blake Hutchison - Howard Weil: Quick question on the frac diagnostics business, you mentioned quite prominently in the release and I was wondering if from the field level, you are kind of feedback at the slower pace in the second half of the year, had companies make ticking a little more thoughtful approach whether packaging and kind of the completion scorecard was additive to you and the trend toward perhaps using the frac diagnostics across all wells rather than just type wells, so it just kind of trends for that underlying business in the US?
David Demshur: Yeah, demand has never been higher for fracture diagnostics and you are exactly right. As opposed to individual wells and trying to determine what the fracture diagnostics will tell them in that individual well, we are looking at packages of five and 10 wells being put together to look at the fractured pattern throughout the field. So we are not on, every well does not use fracture diagnostics but as opposed to one in 10, we are probably now up around one in seven and we would hope to get that somewhere around one in four. So we still had to do a better job of education there Blake, but we think that is a demographic that works in our favor.
Blake Hutchison - Howard Weil: And then what you are talking about in terms of observed intensity gains and the fact that little is still known about the shale plays, has that placed into the reservoir management business as we sit here as outside observers, I guess there's a tendency to think that some of these studies are in the US shale base and these are more mature base and they are getting a little long in the tooth but in fact is that the same kind of analysis going on where we are continuing to test not only the extents but the (inaudible) of these plays and so maybe there's a misperception of the longevity and how long some of these early studies might play out?
David Demshur: I think that's exactly right. When we think back just a number of years ago, remember three stage fracs in the [Barnett] was a big deal and we look at that now and its kind of looks like child’s play. And just recently here over the last couple of years, we are looking at the progress in more stages, better play stages are going to be needed to more effectively not capture just the initial production which I know operators are concerned about but more important the Core Lab and ultimately two of those operators will be the ultimate recovery from those reservoirs. So I still think we are in the early stages of understanding certainly the unconventional reservoirs related to oil plays, but in looking at mastering what ultimately will be the recovery rate from those. As Rob mentioned earlier on the call, we are talking about 9% recovery rates out of these. When we worked for Mr. Mitchell back in 1991 on the Barnett the average recovery rate from that shale and natural gas was somewhere around 4% and today we got it up to 16% to 17%. Now the crude oil recovery rates get to that level probably not but we can sure as head get them up from 9% to 10%, we think big gains still to come over the next decade.
Blake Hutchison - Howard Weil: And I want to cover a couple of data points that you guys have discussed on the last conference call realizing it’s probably not the most intellectual way to look at the business. You talked a little bit about your 100,000 square foot expansion in the Houston facility. I think most of that is dedicated to reservoir description. Is the utilization of that that indicator of where deepwater activity is heading, and understanding you wouldn’t build it if the business wasn’t there. Can you give us a feeling for where you are in terms of utilization of that new space?
David Demshur: We are still in the building now, stage on that. That impacts reservoir description the most, but also reservoir management. We're working on those. Production enhancement, we're increasing the space there also in Houston. So we’ve got all three segments growing, but the biggest growth is in reservoir description. Yes because we do get a lot of imported rock and fluids here, because the companies are based here from international, so it's going to have it's biggest impact.
Dick Bergmark: We're getting a lot of cores from the southern Atlantic in here both sides and from the East Africa Core as well. So we’ve got quite a bit coming in to this area.
Operator: (Operator Instructions)
David Demshur: We have used our time. So we're going to go ahead and close.
Operator: Okay.
David Demshur: In summary, Core’s operation posted another solid year, but we think we can do better. We have never been better operationally or technology positioned to help our clients expand their existing production base. We remain uniquely focused and are the most technically advanced reservoir optimization company in the oil field services sector. This positions Core well for the challenges ahead in 2013. For 2013 we continue to be encouraged by recent activity trends in international and in especially deepwater activities. The growing activity levels in the deepwater Gulf of Mexico and remain confident in the activity levels associated with unconventional oil place especially those in North America. The company remains committed to industry leading levels of free cash generation and returns on invested capital with all excess capital being returned to our shareholders. So in closing, we would like to thank all of our shareholders and the analyst that follow Core and most importantly as Monty Davis pointed out, we give special thanks for the 5,000 worldwide employees of Core Lab that have made these outstanding results possible. We are proud to be associated with their continuing achievements. So thanks for spending your morning with us and we look forward to our next update. So good bye for now.
Operator: Thank you, this concludes today’s conference call. You may now disconnect.